Operator: Greetings and welcome to the Sinclair Broadcast Group Inc. fourth quarter 2009 earnings conference call. (Operator's Instructions) It is now my pleasure to introduce your host Mr. David Amy, Executive Vice President and Chief Financial Officer for Sinclair Broadcast Group. Thank you Mr. Amy, you may begin.
David B. Amy: Thank you Operator, and good morning everyone. Participating on the call with me today are David Smith, President and CEO, Steve Marks, Chief Operating Officer of our television group and Lucy Rutishauser, Vice President Corporate Finance and Treasurer. Before we begin Lucy will make our forward looking statements disclaimer.
Lucy A. Rutishauser: Thank you Dave and good morning. Certain matters discussed on this call may include forward looking statements regarding among other things future operating results. Such statements are subject to a number of risks and uncertainties. Actual results in the future could differ materially and adversely from those described in the forward looking statements as a result of various important factors. Such factors have been set forth in the company's most recent reports on Forms 10-Q, 10-K and 8-K filed with the SEC and included in our fourth quarter earnings release. Our released was furnished to the SEC on a Form 8-K earlier this morning. The company undertakes no obligation to update the forward looking statements. The company regularly uses its website as a key source of company information which can be accessed at www.sbgi.net. In accordance with (inaudible) this call is made available to the public. A webcast replay will be available on our website later today and will remain available until our next quarterly earnings release. Redistribution of this call is prohibited without the express written consent of the company. Included on the call will be a discussion of non-GAAP metrics. Specifically television broadcast cash flow, EBITDA, free cash flow and leverage. These metrics are not meant to replace GAAP measurements but are provided as supplemental detail to assist the public in their analysis and evaluation of our company. A reconciliation of the non-GAAP metrics to the GAAP measures in our financial statements is provided on our website under Investor Information Reports and Borrowing.
David B. Amy: Thank you Lucy. Now turning to our results. Net broadcast revenues for the fourth quarter were $153.9 million, down 6.4% or $10.5 million versus fourth quarter of 2008. This is considerably better than the guidance provided on November 4, which estimated net broadcast revenues to be down 11% to 12.8%. The $10.5 million improvement to our guidance came primarily from increased ad spending by the automotive sector and political spending related to health care reform. As compared to last year, the decline was due to the absence of $21.5 million in political, offset in part by higher retransmission revenues. Television operating expenses in the fourth quarter, defined as Station Production and as station SG&A expenses before barter (ph) were $67.7 million down 9% or $6.7 million from fourth quarter last year. The decline was primarily due to lower sales commissions on the lower revenues, a lower electric cost as a result of shutting down the analog transmitters saving from our cost cutting measures and lower promotional costs. On a full year basis, TV operating expenses were down $29.9 million or 10.1%. We are very proud of our employees important commitment to help cut costs from the business and find alternative, more efficient ways to operate. Corporate overhead in the quarter was $7.1 million, $1 million higher than fourth quarter last year, due primarily to higher healthcare claims of cost accompany. We reported a $1.9 million non-cash gain on assets exchanges on the quarter. Under this program which is now concluded we received a total of $8.1 million in new digital equipment from Sprint Nextel in exchange for comparable analog equipment as a result of vacating certain analog sectors to be used for public safety. In the fourth quarter we recorded a $119.5 million non-cash pre-tax charge related to the impairment of good will and other intangible assets as a result of the recession. As a result of the impairment charge we had an operating loss in the quarter of $66.1 million. Excluding the impairment, we would have had operating income of $53.4 million. Our other operating division had an approximately $1 million operating loss primarily due to G14 (inaudible) the software and controlling company which we sold in December. We also created Acrodyne Technical Services in the fourth quarter which is a new division to support the transmitter business of Acrodyne Industries which closed its business on September 30. During the fourth quarter the company invested $1.6 million net of cash distribution in various countries. The total amount of investments made since 2007 is $159 million which we believe is hidden value not included in our market value. Television broadcast cash flow in the quarter was $68.3 million, down $3.9 million or 4% from last year's fourth quarter BCF. This was approximately $13 million better than the BCF implied by our November 4 estimates, due primarily to the improved revenue performance and cost improvements. EBITDA was $60.3 million in the quarter down $5.7 million or 8.7% lower than the same period last year. The broadcast cash flow margin on net broadcast revenues was 44.4% higher than our margin a year ago of 43.3%. The EBITDA margin on total revenues was 32.9% in the quarter, slightly lower than the 33.7% from a year ago due to the aforementioned increase in healthcare costs. Interest expense for the quarter was $26.5 million, $5 million higher than the fourth quarter last year, due to the restructuring of our debt in the fourth quarter. On a net cash basis, interest expense was $23.1 million in the quarter. Excluding the impairment charges, net of taxes we had diluted earnings per share of $0.24. When we include the impairment charge, we had a diluted lost of common share of $0.85. Despite the recession and absence of political we generated $44 million of free cash flow in the quarter and $129.1 million for the year. This equates to a 40.1% free cash flow yield on our market cash. I'd like to make a couple of notes here before I turn it back over to Lucy. We've made some changes in the way we record our broadcast revenues and you'll pick that up later on here. Our local broadcast revenues will be defined as local time sales, retransmission revenues, network compensation and other local revenues. National broadcast revenues will include national time sales and other national revenues. One additional note, we had a correction this morning on our earnings release and this was a correction to David Smith's quote, on which he made the comment that our first quarter would be in the low single digits growth and what that was meant to say was that we would not be low single digits but low double digits. So that's a correction that we wanted you to be aware of. And with that I'll turn it over to Lucy and she'll take you through the balance sheet and the cash flow highlights.
Lucy A. Rutishauser: Thank you Dave. Capital spending in the fourth quarter was a mere $700,000 which is $3.1 million lower than forecast. In 2009 we only spent $7.7 million which is significantly below our $10 million to $15 million historic maintenance levels. For 2010 we are forecasting capital spending to be approximately $19 million. Now of this, $2.4 million relates to 2009 fourth quarter projects that are rolling into 2010 and about $5 million relates to expense reduction projects where we expect to earn about 20% return. Cash programming payments in the fourth quarter were $21.4 million and $82.8 million for 2009. For 2010 we are forecasting cash programming payments to increase to approximately $89.8 million and then to decline thereafter. Our current expectations are to see an overall decline in annual cash programming payments with 2011 payments to be more aligned with 2009 levels, and for 2012 and 2013 to decline to a level in the low $70 millions. As we announced on our November 4 earnings call, we've restructured the balance sheet and pushed our maturities out. As a result, we had zero drawn under the (inaudible) on December 31, and $23.3 million of cash on hand. Additionally there was $27.7 million of short term restricted cash which will be released by May 2010 and $36.7 million of long term restricted cash which will be released by January 2011. These two amounts are being held in escrow to fund the remaining amounts outstanding under the 3% and 4 7/8% senior convertible bonds. We currently have cash tender offers outstanding for both of these bonds and those offers are scheduled to (inaudible) on February 23 and the offers to redeem the bonds at par. Accounting for the restructuring that we did in the fourth quarter but excluding the current tender offers, we expect net interest expense to be approximately $116.7 million in 2010 or $105.2 million on a cash basis. Total debt at December 31 was $1,366.3 million which included $38 million on non-recourse and variable interest entity debt that we were required to consolidate on our books and $35.6 million that relates to Cunningham Debt. Under our October 29 amended and restated bank credit facility we are now measured on three covenants through the operating company. First lien indebtedness, total indebtedness and interest coverage ratio. At December 31 our interest coverage was 4.02 times on a covenant of 1.75 times. Our first lien indebtedness ratio was 1.86 times on a covenant of 3.5 times, and the total indebtedness ratio through the operating company was 5.49 times on a covenant of 7.5 times. It's important to point out that even with EBITDA down 23% in a recessed non-political year, and having refinanced approximately 85% of the whole term (inaudible) at the OPTEL (ph) level, our total OPTEL indebtedness was still only 5.49 times and this is truly a testament to all the hard work that we've done on strengthening our balance sheet prior to the recession and a positive indicator of our strength and ability for the future. Steve Marks will now take you through our operating performance.
Steven M. Marks: Thank you Lucy and good morning everyone. As Dave mentioned, net broadcast revenues were $153.9 million, or down 6.4% in the fourth quarter and $10.5 million better than what we estimated on November 4. The improvement came primarily from the auto category and higher health care reform political spending. Political spending in the fourth quarter was $4.1 million versus $25.6 million spend in fourth quarter 2008. Excluding political, net broadcasting revenues were up 7.9%. Local broadcast revenues which include local broadcast time sales, retransmission revenues, network compensation and other local revenues were up 2.1% in the fourth quarter or up 7.7% excluding political. National broadcast revenues which include national time sales and other national revenues were down 23% in the fourth quarter due to the absence of political. Excluding political, national broadcasting revenues were up 8.4%. Categories that were up the most in the fourth quarter were pharmacy, medical, grocery and retail while paid programming and telecommunications were down. The automotive category was down 2.1%, a significant improvement over our November 4 expectations for it to be down by high-teen percents. You can just see how much this category rebounded in the fourth quarter when you consider that for the year it was down 33.6%. With all but two markets reporting our stations on average grew their total revenue share including political revenues increasing from 16.8% in the fourth quarter 2008 to 17.5% in fourth quarter 2009. Turning to our outlook we feel very encouraged that the ad recession is behind us. Particularly with our revenue improved in the fourth quarter and with first quarter 2010 pacing comfortably. For the first quarter we were estimating net broadcasting revenues to be up by low double digit percents from last year's first quarters broadcast revenues, about $131.3 million. When you consider that only three of our 58 stations benefit from the Olympics and the Super Bowl, these are very impressive growth estimates and a testament to our sales effort. Included in outlook is approximately $1.2 million of political advertising as compared to $300,000 in the first quarter last year. While we are not prepared to provide the full year revenue estimates we do expect political to be more than the $31 million in 2006. It's not clear yet what the impact will be from the Supreme Court's decision to reverse the restrictions on the amount of political spending by corporations and unions but third party estimates are that it could mean an additional $500 million spent in 2010, of which television broadcasters will be the biggest recipient of those funds. As our guidance implies we expect a majority of our advertising categories to finish the first quarter 2010 up versus the first quarter last year with the biggest gains coming from the automotive sector. We expect automotive to be up almost 20% in the quarter. Other categories we expect to finish up are schools, services, grocery and home products. Telecommunications, paid programming, entertainment, movies and retail are expected to finish the quarter down. On the expense side we are forecasting our 2B production and SG&A expenses to be approximately $67.1 million in the first quarter, a 1.9% increase over first quarters of last year's $65.9 million. Included in the $1.2 million are higher sales commissions on the revenue growth and salary increases for our employees who had their salaries frozen last year due to recession. For 2010, TV operating expenses are estimated to be approximately $275.9 million up a nominal 4% from 2009's $265.2 million. This equates to about $10.7 million in higher expenses which consist primarily of higher sales commissions on political revenues and a core business recovery assumption. It also includes salary increases for our employees and higher promotion costs. Based on our guidance included in our earnings release provided this morning we are expecting EBITDA to increase by approximately 24% to 28% in the first quarter versus the same period last year. For other line item guidance please refer to our earnings release provided this morning. With that, I would like to open it up to questions.
Operator: Ladies and gentlemen, we will now be conducting the question and answer session. (Operator's Instructions) Our first question is coming from Bishop Sheen with Wells Fargo. Please state your question.
Bishop Sheen - Wells Fargo: Hi everyone, thank you for taking the question. Lucy you mentioned what a great job you guys have done on the balance sheet and in fact have. One last piece of old business, the 6% converts of 2012. Any plans to do something near term and really simplify the balance sheet?
Lucy A. Rutishauser: Bishop, you are correct, we have – we had the two maturities in 2012, the 8% senior (inaudible) and the 6% convert and we are looking at those. Our primary focus is on debt reduction and you can see that we have the current tender down on the 3 and the 4-7/8s so we can put the restricted cash to use. We are looking at the eights and the sixes. You know, I think we'll have a much better sense for 2010 once we get a good look at the second quarter numbers. We sort of have to see how 2010 is playing out, particularly on the political side. But then we also need to look at what it is – the current restrictions in our bank deal. What is the leverage capacity, the interest coverage. You know what's the market rate and how open are the five markets. We have to sort of put all those things together but definitely get repayment and taking a look at the eights and the sixes at the forefront.
David B. Amy: Bishop this is Dave. The primary thing we're seeing now as the first quarter improves, the way the first quarter is going -it's all formality is what we have in regards to taking care of those issues going forward. We're not looking at those as having refinancing risk. It's more about the timing and when it would make the most sense to make a move towards either taking this out to a tender or refinancing it in some other way.
Bishop Sheen - Wells Fargo: All right, thank you.
Operator: Our next question is coming from Marci Ryvicker of Wells Fargo. Please state your question.
Marci Ryvicker - Wells Fargo: Lucy, I have two questions. First, can you explain the decline in programming payment and does this include the amount of compensation you'd be paying the broadcast that works for re-trans?
Lucy A. Rutishauser: That's a separate question and we have not – we haven't made any kind of statement regarding compensation with the network. In fact we're still negotiating with ABC. So – I'm only going to address film payment. The decline in film payments over the next couple of years is really coming from a couple things. The first one is really by our design and we're eliminating sitcoms in early (inaudible) and replacing them with first run programs, so they don't have that long film payment scale that a typical sitcom would have. And then the second one is just more of an industry wide change in which many of the sitcom deals that are out there are becoming barter deals, rather than cash or cash and barter.
Marci Ryvicker - Wells Fargo: Okay, and then just on the ABC, how long can you continue doing monthly extensions? Is this something we should expect for a while?
Steven M. Marks: Marci, I don't think it's anybody's intention to do it longer than necessary, I just think that frankly ABC is so busy trying to get transactions done with their buyers at one time it's an impossibility so they just kind of do what they can do as quickly as they can, and we chat and negotiate and they go off to someone else and come back to us when they've got time and so I think we're okay with that. It's not a problem for us. I don't think it's going to take much longer honestly, but we don't know that for a fact because there are just a lot of issues to deal with.
Marci Ryvicker - Wells Fargo: I have one last question just on visibility at this point. Are advertisers still booking as late as they had been last year?
Steven M. Marks: That's gotten quite a bit better, so we are seeing a little bit more visibility. It really popped right after our November call, and things have been mounting ever since. And it's getting back to some normalcy of what we were used to two, three four years ago, so we are getting a little bit more vision that we had in previous quarters.
Marci Ryvicker - Wells Fargo: Thank you.
Operator: Our next question is coming from Aaron Watts with Deutsche Bank. Please state your question.
Aaron Watts - Deutsche Bank: Hi everyone. Just a few from me. I guess one follow up on the negotiations with ABC. Any sort of update in terms of what they're asking for versus what you're stance is. We've heard a range of emotions from different – from various of your peers, and I'm just curious where you stand on it now as far as to what you might have to give up and what they bring to the table.
David D. Smith: I think you know the answer to that, and honestly all these things are done in the most confidential nature and environment it can possibly be done for all the obvious reasons. So I'm not here to tell you what anyone else is commenting about, whether it's true or not true, or vent or story or anything else. All I can tell you is that we're going to do a deal that makes sense for us and be comfortable with.
Aaron Watts - Deutsche Bank: Okay, fair enough. And then the second one just – obviously your volumes are coming back on the ad category side and I'm just curious if you could talk to how you think it's looking with the ads and the clients that are coming back into the fold.
Steven M. Marks: You know, we started off the year interestingly enough where some major agencies tried to kick the tires to see if they could get any even further rate reductions, which we just sort of laughed off. Obviously the business is picking up, we are a supply and demand business at its truest form. We're literally in business 24 hours a day 365 separate times so when the business does pick up it behooves us to obviously price to these markets and these markets are more active than they were previously, so you will continue to see AUR's (ph) continue to grow throughout the course of the year.
David D. Smith: I think the other macro (inaudible) that you have to keep in mind here is that as the newspaper business continues to kind of slide into oblivion, all the money that's historically been spent in that space eventually has to end up someplace. And the vast majority of that money was retail and automobile sector. And I think that the thing to appreciate is that if you pick up any daily newspaper in any major city in this country they're for all intents and purposes empty. So that means that there's a lot of money sitting on the sidelines that's trying to best figure out how to get into our space, because we're really still, in spite of what the internet might say – we're still the primary space where people come to spend their money. And why shouldn't they. We're it. We're the standard by which everyone else is measured. So I just think that – I'm not sure that that whole side of the world has sorted itself out yet. From the standpoint of newspaper and when does it end, does it end, how much money do people – just historically say 'I'll never go back there again and therefore what am I going to do with all that money'. I think there's a lot of people trying to sort that out right now, trying to figure out how to deal with the basically demise of that space. So we're obviously the beneficiaries of all that. So it's climbing slowly.
Aaron Watts - Deutsche Bank: That actually has to do with my last question, which is – maybe Steve this is best for you, but as you get feedback from your sales force kind of growing now, from their clients as that money pours back in, what are you getting in terms of feedback – is it all coming back to you that you had loss from the downturn, or are you seeing any material erosion as budgets get siphoned off towards cable or online or even the benefit of newspapers as you eluded to before.
Steven M. Marks: Well, as I started to mention, we are seeing these categories pick up and when they pick up we're smart enough to take a look at our available inventory and raise the rates. We're also much more sophisticated today with what we're capable of offering perspective advertisers. So when Dave mentioned the demise of the newspaper business we're very heavily into offering market solutions to our advertisers that include TV as well as the internet **.
Steven M. Marks: When David mentions the demise in the newspaper business, we’re very heavily into offering marketing solutions to our advertisers that include TV, as well as the internet, as well as mobiles, and we’re very successful in plotting out a marketing solution for our advertisers that encompasses all three elements. And when you take a look at all three elements, we’re putting dollars up against all of these three elements and it’s become a very interesting play for us. The way we market and the way we spoke to our advertisers has changed dramatically over the last couple of years. And with the economy now swimming back and getting out of the recession, gives us the opportunity to go back out into the street and relay these marketing messages that we’re capable of doing and we’re having quite a success with it. So you will see the rates go up throughout the course of the year. The advertising community knows we are a supply and demand business and they’re prepared for it and they will pay the freight to get on because they know how important the medium is to be on.
Aaron Watts – Deutsche Bank: And you feel good about maintaining your share, versus the other outlets for your clients to spend their ad budgets on?
David D. Smith: We’re still the most powerful force on the face of the Earth. We have to get that message out because that is a fact. Nobody comes close to what we are capable of delivering as a need. We are literally the strongest force on the face of the Earth and everybody else is second. So when you put that message out and you do it correctly you’re going to be the benefactor.
Aaron Watts – Deutsche Bank: Okay thanks for taking the questions.
David D. Smith: Thank you
Operator: Our next question comes from Lance Vitanza with Knighthead Capital Management. Please state your question.
Lance Vitanza – Knighthead Capital Management: Hi, guys, thanks. A couple of questions, first on the Q4 outperformance relative to the guidance you mentioned auto and also some political. How much of that was auto and how much was political, can you give me a rough feel for that?
David D. Smith: I don’t have it off the top of my head. I know we did $4 million in political and we round up only minus two from the year previous on automotive, but it had to be a little top heavy on the automotive.
Lance Vitanza – Knighthead Capital Management:  Okay, great. And then we talked a little about this in some of the earlier questions, but just specifically in terms of Q2 pacing, can you give me a feel for how that’s looking at this point in time?
David D. Smith: In Q2?
Lance Vitanza – Knighthead Capital Management: Yeah.
David D. Smith: I think it’s just a pinch too early for Q2, though what I like about Q1 is that March is really accelerated and has been accelerated for a good three to four weeks, which would will lead us to believe that we could parlay that into the first month of Q2. We started off a little bit slow, actually in Q1 our January pace was not terrific. We’re really picking up momentum and add them to picking up significant momentum over the last three to four weeks for the tail end of February and all of March with bodes well, I would think, the second quarter. So I think the key to second quarter is when we could get out of the gates a lot quicker than we did at first and take that huge March pace that we’re enjoying right now, and parlay it back in to the beginning of second quarter.
Steven M. Marks: I remember last year, Lance, the second quarter is from a (inaudible) standpoint year-to-year, and ended up actually lower time-sales than our first quarter, which is because of the recession, a complete aberration from any historical trends. So that should really bode well for us in regards to comparison from this year versus last year.
Lance Vitanza – Knighthead Capital Management: Great okay, thanks, guys.
Operator: Our next question is coming from the Matt Swope with Broadpoint Capital. Please state your question.
Matt Swope – Broadpoint Capital: Good morning, guys. Could you give the full retransmission revenue number for 2009?
Steven M. Marks: Well we provided that in our conference before and what we’re doing now is what we think is in the best interests of our shareholders and our investors, in regards to including re-trans as part of our local revenue. And from that regard we’re going to continue to do that and not be specific in regards to dollars, certainly if you want to know what that was you can look historically of what we’ve set and how we got positioned (inaudible), but at this point we’re including it as part of our total local advertising.
David D. Smith: Just to give you some sense of why that is, I think for the last couple of years we felt that it was important for not only our shareholders to understand what we were accomplishing, but it was probably equally, if not more important, for the entire industry to understand that Sinclair was effectively the leader, and getting the retransmission dollars from those multi-channel (inaudible). I think it’s fair to say without tooting our horn one iota that the industry is where it is today in terms of what it gets because of our efforts. And now that everybody is essentially feeding them straws, it’s no longer necessary for us to stand out in front of it all and say, look how much we get versus everybody else, that doesn’t necessarily serve our purpose.
Matt Swope – Broadpoint Capital: Okay, it is certainly helpful from our modelling purposes to try to grow that revenue lines separately from your core.
David D. Smith: We appreciate that sensitivity, but I think that our larger issue here now is confidentiality of that information going forward, and that it doesn’t serve our purpose to have the data out there.
Matt Swope – Broadpoint Capital: You guys are on the (inaudible) file back in July you had given us some guidance for 2010 re-trans and again not to be too specific after what you just said, you talked about roughly a 9% growth rate in 2010 re-trans over 2009. If want to attempt to keep modelling it that way is that still a good type of number to use for that?
Lucy A. Rutishauser: You know one thing, Matt, that you have to take into consideration is always timing of when renewals come up and 2009 we had renewals, 2010 we had renewals, a lot of follow-ups, a lot of companies so–
David D. Smith: And we’re still negotiating over (inaudible), so it seems to be an ongoing variable process, when you add one (inaudible) start another one. They’re all fairly material so they’re rolling transactions.
Matt Swope – Broadpoint Capital: Okay and maybe this is why I’m asking on this issue, is there anything you can comment on the Mediacom negotiations that seem to come and go without too much fanfare.
David D. Smith: Why do you think that is?
Matt Swope – Broadpoint Capital: I’m hoping that’s because you got the kind of increases you got last time.
David D. Smith: I think that we’ve always said it’s very simple, here’s what we think is a fair deal, we don’t see anything worth fighting about, all we want is what our fair price is and Mediacom seems forever disposed to want to argue the issue and they’ve argued it once and they lost and they argued again and they lost. So I fully expect that they’ll do it a third time but that’s just the nature of their character. We think it’s frivolous and an absolute waste of time and effort that doesn’t serve anybody’s purpose, doesn’t serve the public’s purpose, but that’s their style and we understand that and if that’s what they like to do then we’ll do that. But you should understand in the end we’re going to get what we want and that’s the bottom line.
Matt Swope – Broadpoint Capital: Could you remind us again how long is the deal that you signed with them now?
David D. Smith: It ends this year.
Matt Swope – Broadpoint Capital: So, until the end of December?
David D. Smith: It was a one year deal, so we just finished negotiations and we’ll get ready to get restarted again, so you know it will be colorful
Matt Swope – Broadpoint Capital: Maybe one that’s a little less colorful
David D. Smith: And that will be okay with us. We’re prepared to go either way.
Matt Swope – Broadpoint Capital: And on the program payments that Lucy mentioned, the big jump to the expected almost $99 million this year, what are the things that make the 2010 number so much bigger than 2009 on the programming side?
Lucy A. Rutishauser: That’s just how programs are filling holes in the program line often and how we needed to fill those.
Matt Swope – Broadpoint Capital: Okay but you know there are key programs that you can point to that are driving that increase this year
David D. Smith: No, there’s nothing that’s really popular, we’ve had a few sitcoms like The Office and Earl, but nothing significant, but nonetheless those shows were cash. So we picked up some extra cash sitcoms, not at huge pricing but we picked them up at a couple of handful of markets.
Matt Swope – Broadpoint Capital: Okay, thanks, guys.
Operator: Our next question is coming from Bob Kricheff with Credit Suisse Group. Please state your question.
Bob Kricheff - Credit Suisse Group: Hi a couple of part question. First of all discrete cash flow could you give us an idea, as hopefully your free-cash flow rises up where you think you would allocate that? Is it going to be primarily a reduction? Sort of tied into that David commented on, what you viewed as the asset value that’s not being included when people could share the broadcast values or some of the other investments? Is the intention or the implication from that, that you guys are going to investment more over this year in a certain non-broadcast areas? And thirdly, a different tact, just if you could give us an idea which markets you guys think the biggest political battles are likely to be for you guys this year or political gains I should say from your side.
David D. Smith: That’s a very good question, Bob, one that we are wrestling with everyday here now that we’re seeing such an improvement in the performance in the cash that’s coming in exactly what do we do with all this cash. And because of the situation we faced last year in regards to the refinancing of our credit agreements of the first and second (inaudible) of the compensations that we have to deal with, for example (inaudible) what are we going to do with the (inaudible) and unfortunately we are not even able to go out and be aggressive in the market and buy this at a discount and current credit agreements structure. So we’re looking at different ways to maximize our returns, one of the considerations we have is that under the Cunningham deal we making option payments that and the fact that we’re retiring a (inaudible) Cunningham’s $30 million of debt. We’re looking at it as a possibility as one of the higher interest rates expenses that are out there we have an obligation to reimburse their call-ups so in effect we’re paying the interest off on that. That’s one option we’re looking at. And then certainly the other would be as Lucy mentioned earlier in regards to competitors’ ability in the second quarter and all, which we’ll have a better understanding of just what we can and can’t do in regards to the insistent credit agreements. And we’re already thinking about does it make sense to (inaudible) credit agreements or exactly what we should do to provide additional flexibility other than to just pay down first (inaudible) debt. And then as far as the (inaudible) limitations that we had in regards to investments outside of the core business we have limitations where we had a bucket of stuff that’s sitting under $20 million and that should take a couple to three years to before we would go through that bucket, so if there’s a pretty small bucket relatively speaking for outside investment. That’s pretty much where we are, we have one hand tied behind our back, so to speak, and we’ll be looking for ways to do to free that up and to make some changes as we go forward and that’s back to you, Steven.
Steven M. Marks: And on the political question, I think this election year will go very well specifically for Sinclair. (Inaudible) major races in Ohio, our company is very dominant in Ohio with very strong television stations and we’re in quite a few Ohio markets, There is some interesting races in Florida where we have very strong ABC station (inaudible), which will definitely (inaudible) on that one. There’s interesting races in Baltimore where we have two very strong stations, so I think our resume of stations and where the key elections are this year as well as the election atmosphere itself, the political atmosphere itself flows well for a lot of spending in 2010, perhaps much more than we thought a couple of months ago so we are strategically situated to benefit in 2010 not only by the make-up of the races on our resume but on the expected increase standing in that category.
David D. Smith: I think the thing that we don’t know there is we don’t know from the standpoint of who’s going to drop out of them all. I mean who’s going to suddenly say, (inaudible), I mean that could happen (inaudible) could be 15 more major politicians that drop off the face of the Earth and (inaudible) where did that come from? Nobody was expecting that so we don’t know what we don’t know from the standpoint of who may suddenly at the last minute drop out and then the game begins. I’d like to think that it’s based on a trend that there is probably going to be some more of that and if it coincidently happens in our markets well then that’s all good for us. I think the other thing that we just don’t know yet is, what’s the effect of the new Supreme Court decision? From the standpoint of people business and things moving into the market place and so right now we’re (inaudible). I’m sure there’s a lot of thought going into that right now. I’ll have to take advantage of that if a new opportunity presents itself. So we’re certainly going to be the beneficiaries of that, that money is not going to go to this paper, it’s not going to go to the (inaudible) it’s not going to anybody probably but us so all politics is local, I’m sure you remember. So we expect to be the winner (inaudible).
Bob Kricheff - Credit Suisse Group: (Inaudible) advise everybody to drop out right?
David D. Smith: Why go through the battle because you would get beat up?
Operator: Our next question is coming from Edward Atorino with The Benchmark Company. Please state your question.
Edward Atorino – The Benchmark Company: Hi, I was trying to remember did you say $31 million in political, you think this year represents-
Lucy A. Rutishauser: Ed, we said $31 million in 2006 and we expect to beat that, but it's not fair to say by how much,
Edward Atorino – The Benchmark Company: That’s what I was trying to remember and the other question has pretty much been covered, but thanks very much.
Operator: Our next question is coming from Barry Lucas with Gabelli and Company.
Barry Lucas – Gabelli and Company: Most of my questions have been answered, but David I’d like to come back to that $160 million of other assets and can you just give a very brief summary of what’s in there? And how do we monetize that as far as the equivalent of $2 a share on $5.50 stocks?
David D. Smith: The make-up of that is primarily going to be real-estate development (inaudible) projects and there’s a couple of businesses that we had included in there that are small. We could have an (inaudible) alarm company we have about $6 million invested in another assigned company that we have about the same amount invested with them as well. And the rest of that we would have to categorize is real-estate investment and so in that regard our ironing is the issue there (inaudible) anybody on this call that would be the timing of the real-estate value, the real-estate etcetera. One of the good things we can point to in that regard (inaudible) in regards to taking advantage of the real-estate market and a lot of our deals come as a result of the prices coming down and so we did get in on most of these things (inaudible) a little into the market itself at good cap rates, if you will, on (inaudible) reducing properties and at low cost rates on projects that are in development (inaudible) to be placed into development (inaudible). So the answer to your question is as far as when do we start seeing returns on that? We think a couple of (inaudible) this year, the Alarm Company, we are looking right now to sell a piece of that off towards the end of this year and that relatively speaking it’s hard to say small investment, we expect to see a real nice return on that another quality company. We’ve been talking to interested buyers in that regard so we’re pretty confident that will turn around, get a nice return the Sign Company (inaudible) itself we’re starting to. That’s really been the recession and hit hard by the recession because it’s really dependant so much on retail and in regards to home-shopping centers or (inaudible) etcetera and needing new (inaudible) and putting up new properties. But in effect that is helpful for us in regards to just seeing how retail is moving along we’re at this point starting to see a (inaudible) in the business as a lot of retail development is coming our way and that’s a good indicator we’re looking at that and saying that may be a nice precursor of good thing to come later (inaudible) for the economy and for the television business as well.
Barry Lucas – Gabelli and Company: Thanks for the color.
Operator: Our next question is coming from Avi Steiner with JP Morgan. Please state your question.
Avi Steiner - JP Morgan: Thank you, most of my questions have been asked. Just a couple, if you went over this I apologize. Can we talk about Toyota and what’s going on there? () seeing in the markets and then going back to an earlier comment on Cunningham and central payment, what’s going on there? Could you put a dollar amount on the ()? Thank you.
David D. Smith: I could give you a quick answer that Cunningham is $30 million.
Avi Steiner - JP Morgan: (inaudible)
David D. Smith: With potential, yes, we’re building a lot of cash. Potentially we could do that.
Avi Steiner - JP Morgan: Okay. A2 What was the question again? I think Toyota is going to be a huge opportunity for the broadcast field because it is very clear that they are going back to spend an enormous amount of money to try to correct their image. Their image was safety and we expect them to be an enormous advertiser as the year goes on, we have had very little cancellations from them and of course of the most recent news, they continue to spend whatever small cancellation they had were from pockets of groups, locally (inaudible) that became disenchanted with local broadcast news of the situation, but I think it’s very clear that they’re going to turn this around, they’re going to use our medium and they’re going to use it extensively. So I think it’s going to be a huge (inaudible) as the year goes on I would be very surprised if they don’t come back with the image (inaudible) and raise their (inaudible) substantially.
David D. Smith: Just to clarify a bit on the Cunningham, I’m not sure what your models might show, but under the obligations of Cunningham we have (inaudible)$1 million payments every year on a quarterly basis (inaudible) $750 per quarter so when we talk about the $30 million, we already had planned $11 million as payment and that’s this year (inaudible) just to clarify (inaudible) free cash flow (inaudible) person we have not heard today is just what’s going on with Cap spending, we are indicating that it is approaching $20 million (inaudible) standpoint for this year so that’s another use for the free cash flow that we are anticipating (inaudible), the reason for that growth is primarily due to opportunities we’ve seen within the company to reset investments in the company in a lot of areas that’ll actually drive our costs down. We’re considering about a three-year payback 33% return and cost saving relative to those investments that we just paid during the course of the year. Just wanted to provide a little more clarification there.
Avi Steiner - JP Morgan: Thanks.
Operator: Our next question is coming from Michael Meltz from JP Morgan. Please state your question.
Michael Meltz – JP Morgan: Hi, I’ll be quick. Two questions, what were cash taxes if any in ’09? And what’s the expectation in 2010? And then in the press release there’s a comment on other division EBIDTA expansion to be $6.7 million this year, which would be very large step-up for (inaudible) ’09. Does that include some benefits from assets (inaudible), or is that pure operating income?
David D. Smith: () last part about $6.7 million?
Michael Meltz – JP Morgan: I think in the press release there’s a comment that you expect to have positive income of $6.7 million from the other divisions, and you lost money in ’09 so what’s the delta there?
David D. Smith: In answer to that question (inaudible) primarily to advertise and G1440 producing offsets in ’09 against the other operating divisions so both of those companies are now (inaudible) shut-down and G1440 was sold so those were both (inaudible) negative bottom-line (inaudible) there was another offer (inaudible) divisions, (inaudible) we had talked earlier about the (inaudible) that continues to grow and improve so that will be throwing it a nice (inaudible) those two $6 million here. So that’s a small business but a nice business. In regards to your questions (inaudible) in taxes. One of the benefits that came with a shut-down of Acrodyne (inaudible) our investment and Acrodyne becomes a tax write-off and the loss on the tax rolls change late in the year last year and it was (inaudible ) financial for the timing in that regard and the roles that they change is payback rolls and it allowed us to be able to take that loss from Acrodyne and carried it back and so as a result of that we produced an operating loss end of ’09 we anticipated no taxable income a fourth quarter improvement actually without that Acrodyne loss, put us into a tax payers status. So that loss and with that carry-back (inaudible) give you the number of the exact amount of tax (inaudible) primarily it would have been state taxes and then going forward because of that carry back this year for anticipating (inaudible) carry over and (inaudible) along with (inaudible) $1 million tax refund that we’ve anticipated seeing that later in the year, probably sometime in the fourth quarter, maybe in late November (inaudible).
Lucy A. Rutishauser: For 2009 we received about a full year, about $2.4 million in refunds for 2009.
Michael Meltz – JP Morgan: Okay, and can the expectation be to be a cash payer you’re saying with refund and the NOLs you’re going to expect cash taxes
David D. Smith: (Inaudible) we’re going to have NOL carry forward (inaudible) and at this point it depends on how the year works out, but we should be paying taxes on a state-basis a couple of million dollars and then a federal (inaudible) don’t anticipate a federal taxes at this time.
Michael Meltz – JP Morgan: Okay, thank you for your time.
Operator: Our last question is coming from Jonathan Levine from Jefferies & Company. Please state your question.
Jonathan Levine – Jefferies & Company: Thanks, last but not least hopefully. Most of my questions have already been answered but I just wanted to see if I could get a little more color on your expectations for the improvement in the auto 20% upside in the first quarter year-over-year, if you could talk in terms of where you’re expecting which manufactures you’re really looking for the improvement.
Steven M. Marks: That’s a good question. I think in the first quarter interestingly enough there is all stepped up and spending has been interesting. You have to keep a perspective that the bottom (inaudible) first quarters so we’re working off of ground zero. Second quarter I think you’ll see, if I was a betting man, I’d think you’d see pretty close to what you saw in the first quarter. The growth will continue probably along the same lines and I think the trump card here is Toyota and to see if they do step-up significantly, which I really believe they will. So I think it’s pretty much a given that the other manufacturers will continue to spend at levels that we witnessed till then the fourth quarter into first and that should carry through and I sense the big market here is Toyota as it steps up significantly over and above what they traditionally would (inaudible). We’re very confident that they’ll have to so I think the category goes very well or us for the remainder of the year. Sinclair’s a little different than any other broadcaster because the magnitude of this category it will make us healthy as we go throughout the course of the year and that couple a little political. Somebody earlier in the call mentioned what does that do to average rates, it's a tsunami for us, the category picking up (inaudible) for the number one (inaudible) for one category (inaudible) 2009, you’re going to have a tremendous amount of political standing so we’re off to a good standing. I certainly feel that and we fully expect to be able to carry that throughout the remainder of the year and this is an indication of the start of the year
Jonathan Levine – Jefferies & Company: Great, thank you very much. That’s it from me.
Operator: There are no further questions at this time I would like to turn this call back over to management for closing or additional remarks.
David D. Smith: No closing or additional remarks from us thank you for participating on our Earnings Call this mornings and as usual if you have any questions, please feel free to contact us and again thank you.
Operator: Ladies and Gentleman, this ends today’s call conference you may disconnect the line at this time and thank you for your participation.